Operator: Good afternoon and welcome to the Flex First Quarter Fiscal Year 2017 Earnings Conference Call. Today's call is being recorded and all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. At this time for opening remarks and introductions, I'd like to turn the call over to Mr. Kevin Kessel, Flex's Vice President of Investor Relations. Sir, you may begin.
Kevin Kessel - Vice President-Investor Relations: Thank you, and welcome to Flex's conference call to discuss the results of our first quarter fiscal 2017 ended July 1, 2016. We have published slides for today's discussion that can be found on the Investor Relations section of our website. Joining me today is our Chief Executive Officer, Mike McNamara; and our Chief Financial Officer, Chris Collier. Today's call is being webcast and recorded and contains forward-looking statements, which are based on current expectations and assumptions that are subject to risks and uncertainties, and actual results could materially differ. Such information is subject to change, and we undertake no obligation to update these forward-looking statements. For a discussion of the risks and uncertainties, see our most recent filings with the Securities and Exchange Commission, including our current annual and quarterly reports. Please refer to the appendix section of this presentation for the reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures for the current period results. If this call references other non-GAAP financial measures, these measures are located on the Investor Relations section of our website along with the required reconciliations. Before I hand the call over to Chris, I want to provide a few definitions for acronyms that will be used throughout today's call to streamline our comments and which reference our four business groups. These acronyms are CTG, which stands for Consumer Technologies Group; HRS or High Reliability Solutions; IEI or Industrial and Emerging Industries; and CEC, which is Communications & Enterprise Compute. With that, I'll pass the call to our CFO, Chris Collier. Chris?
Christopher E. Collier - Chief Financial Officer: Thank you, Kevin, and thank you to everyone joining us today. We appreciate your time and interest in Flex. Please turn to slide two for our first quarter income statement highlights. Revenue was just under $5.9 billion coming in near the high end of our guidance range of $5.5 billion to $5.9 billion, as all four of our business groups either met or exceeded our expectations. Our revenue increased 6% or $311 million on a year-over-year basis and increased $104 million or 2% on a sequential basis despite operating in what remains a sluggish demand environment. Both our IEI and HRS business groups displayed solid growth sequentially and year-over-year. Our first quarter adjusted operating income was $190 million, which was at the midpoint of our guidance range of $175 million to $205 million. This rose 20% or $31 million year-over-year as we continued to evolve our portfolio towards a greater concentration of our higher margin businesses. Adjusted net income was $149 million, increasing $14 million or 11% year-over-year. Our adjusted earnings per diluted share for the first quarter was $0.27, which was at the midpoint of our adjusted EPS guidance range of $0.25 to $0.29, and was up 17% year-over-year or $0.04. Please turn to slide three for our trending quarterly financial highlights. Our first quarter adjusted gross profit totaled $408 million reflecting an increase of 15% year-over-year and our adjusted gross margin expanded over 50 basis points from the prior year quarter to 6.9%. This year-over-year adjusted gross margin expansion was led by an improved business mix, coupled with improved operational efficiencies. Our quarterly adjusted operating income increased year-over-year by $31 million to net $190 million and on an adjusted operating margin basis, rose over 30 basis points year-over-year to 3.2%. We continue to make investments in design and engineering as well as focused innovation initiatives as we evolve our portfolio and expand Flex's Sketch to Scale capabilities and solutions offering. Even while continuously investing to expand our capabilities, it's noteworthy that we've increased our adjusted operating margin for 11 straight quarters on a year-over-year basis. Return on invested capital or ROIC remained strong at 22% and remains well above our cost of capital. Turning to slide four, we display our operating performance by business group. Our CEC business generated $62 million in adjusted operating profit and posted a 2.8% adjusted operating margin, operating within our targeted range of 2.5% to 3.5%. The 20 basis points sequential decline in adjusted operating margin resulted from incremental costs associated with our proactive positioning on certain programs and actions to better align CEC's cost structure. Our CTG business generated $25 million in adjusted operating profit, which resulted in an adjusted operating margin of 1.9%. This performance was as expected as the June quarter reflects the wind-down of production from our China operation dedicated to Lenovo Motorola and the overall reduced CTG quarterly revenue level that put pressure on margin. Our CTG business continues to make progress, winning new customers and expanding strategic relationships, such as the recently announced partnership with Bose, as well as capturing higher value added revenue. All of this provides us with confidence that CTG's ability to achieve its targeted margin range of 2% to 4%. IEI produced $50 million in adjusted operating profit and a 3.9% adjusted operating margin, which is slightly below the targeted range of 4% to 6% for this segment. IEI's operating profit is up 70% year-over-year, reflective of the NEXTracker acquisition and our improved operational execution. We would like to highlight that our current IEI performance, while improved, has been impacted by our former largest energy customer, SunEdison going bankrupt. This bankruptcy has reduced our revenue and corresponding operating profit on both our NEXTracker and our IEI module business. Additionally, this bankruptcy has created some demand pushouts on utility scale and distributed generation energy projects. We expect much of this demand to come back when some of the utility scale projects that were previously awarded are either resold or restarted. Lastly, our HRS business continued its strong performance, generating $88 million in adjusted operating profit, which equates to an 8.2% adjusted operating margin. We continue to display solid operational execution on numerous new auto and medical program and product ramps, enabling HRS to deliver financial results well within our adjusted operating margin range of 6% to 9%. Please turn to slide five for other income statement highlights. Net interest and other expense for the quarter was $28 million, exceeding our guidance range of $25 million. This quarter's results include a minor loss on the sale of a non-strategic facility. We continue to believe that $25 million is the appropriate level for our quarterly net interest and other expense going forward. Our adjusted income tax expense for the quarter was $14 million, reflecting an adjusted income tax rate of approximately 8.4%. This was within our 8% to 10% estimated adjusted tax rate range, and absent any unknown discrete items, we expect to remain in that range this year. When reconciling between our quarterly GAAP and adjusted EPS, you can see an $0.08 impact for stock-based compensation expense and intangible amortization expense net of tax benefits. Turning to slide six, let us review our cash flows and net working capital. Cash flow generation continues to be the cornerstone of our business. This quarter, we generated $264 million in cash flow from operations and have generated over $1 billion during the last 12 months. Net working capital remained relatively flat sequentially at $1.8 billion and was 7.6% of our net sales. Our resulting cash conversion cycle totaled 27 days, which was at the same level sequentially and declined by a day from a year ago. We firmly believe that our current and prospective business mix results in our net working capital as a percentage of sales to remain inside our targeted range of 6% to 8%. And we have confidence that we will make progress throughout the year to reduce our inventory levels and to reflect steady improvement in our inventory turns. This quarter, our net capital expenditures totaled $143 million, reflecting our focused investments to expand capability and capacity in support of our automotive and medical businesses, as well as further investments in automation and expanding technologies to support our innovation services. Overall, as we highlighted at Investor Day, we expect to manage our CapEx investment levels to be roughly $50 million to $75 million higher than depreciation in fiscal 2017, as we make investments in advance of the ramp stages for key strategic programs, such as NIKE. During the quarter, we generated over $121 million in free cash flow and remained fundamentally structured and disciplined to continue to generate strong free cash flow. This enables us to consistently return value to shareholders through repurchasing our shares. This quarter, we repurchased over 7 million shares or 1.3% of our outstanding shares for approximately $95 million. Our actions reflect our unwavering commitment to return over 50% of our annual free cash flow to our shareholders. Now turning to slide seven, let's review our balanced capital structure. This past quarter we saw Moody's join S&P and Fitch, providing Flex with an across-the-board investment grade rating. Moody's upgrade highlighted our more stable and profitable business and the balanced and flexible capital structure we are operating. You can see that we have no near-term debt maturities and a strong financial condition, with approximately $3.2 billion in liquidity and just under $1.7 billion in cash. Our credit metrics remain healthy, with our debt-to-EBITDA ratio at 2.2 times. Before I turn the call over to Mike, I'd like to reiterate our confidence in our strategy, which has helped us to forge a new path and to be perfectly positioned to capture the large (13:03) market opportunity in front of us, as we're providing unparalleled Sketch to Scale supply chain solutions. To seize this opportunity we will continue to operate with discipline and consistently deliver on our commitment. Now I'll turn the call over to Mike.
Michael M. McNamara - Chief Executive Officer & Director: Thanks, Chris. Please turn to slide eight for our fiscal 2017 Q1 business highlights. I concluded last quarter's earnings call by stating that we are entering our fiscal 2017 structured to deliver continued operating profit and margin expansion. Our first quarter of fiscal 2017 demonstrate this as our adjusted operating profit dollars of $190 million were up 20% year-over-year and adjusted operating margin rose 30 basis points year-over-year to 3.2%. This performance helped us to deliver our 11th straight quarter of year-over-year adjusted operating margin growth. The first quarter also provided further evidence of the successful execution of our strategy that delivers a unique engagement model through Sketch to Scale solutions. Many of you saw this first hand during our recent May, Investor and Analyst Day hosted in Silicon Valley. We believe our model is a differentiating capability for our customers. We continue to make meaningful progress shifting our portfolio towards a richer mix of business as both HRS and IEI grew revenues sequentially above expectations. Sales from these two businesses were 40% of our total. Even more powerful is that the portfolio evolution yields an even greater concentration of our earnings into these longer product lifecycle businesses. The total adjusted operating profit from both businesses amounted to 61% of total. Our ongoing portfolio shift also resulted in improved customer diversification as this was the second straight quarter with no customers above 10% of sales. Our top 10 customers accounted for only 43% of sales, the highest level of diversification ever. We believe diversification across market segments, across customers within each segment and focusing on segments with longer product lifecycle is the best way to deliver stable, predictable and expanding earnings. On June 16, Bose announced that it was extending its strategic partnership with Flex. We will take over multiple supply chains for Bose and significantly expand our design service for this new product category. This is a great example about how CTG continues to diversify its customer base with world class iconic leaders, where we can provide our Sketch to Scale supply chain solutions. Cash flow from operations from the quarter was $264 million and free cash flow totaled $121 million. This was the eighth straight quarter of positive free cash flow generation. In the past five years, we have generated positive free cash flow in 17 quarters of the past 20 quarters. Our commitment to provide a consistent capital return to shareholders continued in Q1 as we bought 7.3 million shares for $95 million funded by 79% of our free cash flow. Since beginning our capital return program in fiscal 2011, we have repurchased roughly a third of our net shares. Please turn to slide nine, as we review revenue by business group in detail. CEC formerly called INS was stable sequentially and in line with our expectation. Revenue was roughly $2.2 billion essentially flat with last quarter, but reflects a strong 12% growth year-over-year. The year-over-year growth is a function of new customers and new programs that have ramped over the past four quarters, helping to offset the continually challenging industry dynamics. In the quarter, networking and security and cloud solutions were up, while telecom and legacy server and storage were down sequentially. For next quarter, we expect CEC revenue to be down mid-single digits as we see weakness in telecom and legacy server and storage offsetting modest growth in networking and security and cloud solutions. CTG's revenue was down 4% sequentially, this was better than our expectations for high single-digit, as we saw approximately $50 million in higher than expected revenue from our Lenovo Motorola smartphone business. Revenue was $1.3 billion or roughly 22% of sales its lowest percentage yet. In reference to Lenovo Motorola, we remain their strategic partner in Brazil and have successfully ramped India operations, while completely phasing out our China operations. They are now below 10% of our total sales, but remain a very important customer. For September quarter we are guiding CTG revenue to increase 15% to 25% as we see the positive impact of consumer seasonality combined with the ramping of new products and programs. IEI was close to $1.3 billion, exhibiting 8% sequential growth and 14% year-over-year. This result was above our expectation for low single digit growth mostly due to our Semi & Cap Equipment business seeing greater than expected demand upside. For next quarter we are forecasting IEI sales to be stable, which is up greater than 10% year-over-year. In our HRS group, sales grew 6% sequentially to almost $1.1 billion, which was above expectations for stable performance. This also marked the 26th quarter in a row that HRS has delivered year-over-year revenue growth. Our automobile business continued its stellar performance with successful new program ramps. Our medical business also saw nice growth as we expanded revenue with some new programs and benefited from some demand pull in especially in our diabetes business. In both automotive and medical, we're leveraging our enhanced competitive position with new capacity and new capabilities that we added in the past few years. For next quarter, we expect HRS to be down mid-single digits sequentially, which reflects roughly 5% year-over-year growth. The decline is mostly the result of negative automotive summer seasonality and our medical business coming down slightly from a very strong Q1. Now turning to our September quarter guidance on slide 10. Our expectation is for revenue to be in the range of $5.8 billion to $6.2 billion, the midpoint is a 2% increase sequentially, but a 5% decline versus our year ago levels and almost entirely as a result of the wind-down of the Lenovo Motorola business in China. Our year-over-year revenue comparison will be impacted for the next four quarters as a result of the absence of the Motorola operations in China. Our guidance for adjusted operating income is to be in the range of $180 million to $210 million or $195 million at the midpoint, this equates to adjusted earnings per share range of $0.26 to $0.30 per share based on a weighted average shares outstanding of 550 million shares. The adjusted EPS guidance is expected to be approximately $0.08 per share higher than the quarterly GAAP earnings per diluted share due to intangible amortization and stock-based compensation. Before I open the call up for Q&A, I would also like to thank our team at Flex for their focus and efforts in the first quarter. We remain in a sluggish global economic environment, but our focus and commitment to evolve our business into a Sketch to Scale supply chain solutions provider opens up numerous opportunities for us to continue to improve our business and serve our customers better. With that, I would like to open up the call for Q&A. Operator?
Operator: Your first question comes from the line Amit Daryanani with RBC Capital Markets. Your line is open.
Irvin Liu - RBC Capital Markets LLC: Hi, guys. This is Irvin Liu, calling in for Amit. First, within CSC – CEC, sorry, your margins were well below your targeted range due to – was it positive – better than expected Lenovo Motorola business, just – I was just wondering if these will be the trough levels and we're going to see improvement going forward once the phase out of Lenovo Motorola in China is completed?
Michael M. McNamara - Chief Executive Officer & Director: Yeah, certainly, so you're talking about our CTG business, and in particular, we – as we guided for the period.
Kevin Kessel - Vice President-Investor Relations: Operator, we're getting a lot of feedback on our end, maybe you could mute Irvin's line.
Operator: It is now muted.
Kevin Kessel - Vice President-Investor Relations: Okay.
Michael M. McNamara - Chief Executive Officer & Director: Okay. Thank you. Going back, you were asking about the CTG operating margin performance for the period coming in at 1.9%, which is below our targeted range. That was exactly as expected, we had discussed back at our Q4 as well as over a period of time that we've been in the process of exiting our Lenovo Motorola China smartphone operation and we ceased activities in our June quarter. And with that, we had always been identifying a burden to the company that we'd absorb during that period and that was what is reflected in those results. So, we exited China Lenovo's business. We did it in a well-managed way. We mitigated it and absorbed all the associated costs and risks exposure. And now that's behind us, and so we remain really excited about the opportunities moving forward. So if you think about the business, you have a CTG that's moving up 15% to 25% demand into the September quarter. You don't have the headwind that was upon us with regards to the operation in China no longer. But you're going to see meaningful recapture of margin in CTG as you move into Q2 and beyond. Hopefully, that answers your question.
Irvin Liu - RBC Capital Markets LLC: I was also curious, can you just talk about the revenue potential of the NIKE opportunity. I understand, you guys previously said that it would be material to FY 2018, just wondering what it means to CTG, whether it can reach 10% of CTG revenue by then.
Christopher E. Collier - Chief Financial Officer: Yeah. I think, what we'll end up – we're in a development period. We actually are building shoes today, but the volumes continue to remain quite slow. We will see a ramp up of that business, really not just FY 2018, it doesn't just ramp to a high level then and then call that material revenue. We'll see a continuous improvement in revenue over the course of the next three years, four years, maybe even five years. So we view it as a linear progression of moving towards what we consider to be material revenue. So I think we're well on our track to bringing on the technologies that we need to to reinvent this industry and re-imagine how actually shoes are manufactured, but we're talking about a huge industry here. We're talking about an industry that is getting completely disrupted with new technologies and it's going to take time to do that. So we're going to start seeing revenue ramp in FY 2018, but really the meaningful part will come over the next several years.
Irvin Liu - RBC Capital Markets LLC: Got it. That's all I had for now. Thanks.
Operator: Your next question comes from the line of Steve Milunovich with UBS. Your line is open.
Steven M. Milunovich - UBS Securities LLC: Thank you very much. Two quick questions. First on CTG. Would you look for the September quarter to perhaps be the bottom in the year-over-year revenue comparison as that Motorola business falls off? Should that be the worst compare and then we see improvement after September? And second on IEI, the same margin question. How quickly do you expect to see the margins come back there? I would guess with the SunEdison situation, maybe it would take a little bit longer than you're talking about in CTG.
Michael M. McNamara - Chief Executive Officer & Director: Yeah, I think CTG – we ran Motorola all year long in our China operation. So it was what we would consider to be almost a full run rate for that period. So we would actually expect to see a year-over-year comp problem in CTG for four quarters, for the next four quarters. The last quarter, in June quarter, we've completely exited. So this is from an operational cost standpoint and that is completely behind us. As a result of that, we should see margins move up a little bit at the same time. But we'll actually see this year-over-year comp comparisons for a full four quarters. But Q2 will probably be the greatest impact. On an IEI standpoint, yeah, we're seeing some pressures. As SunEdison moves out of the picture, we had good strong revenue in both our NEXTracker business and in the IEI module business with SunEdison. And those revenues have now come out of our system, the operating profit associated with those revenues have come out of our system. Some of those projects will get picked up and some of the programs that SunEdison was preparing to implement on a utility scale will be done by other customers and we've already been awarded some of those programs. So we'll see some benefit to a lot of those. So I would expect that SunEdison revenue in OP to wash over the next quarter, maybe one and a half quarters. And at that point, I would expect us to be back to trying to move towards the middle of the range of IEI margins over the course of the remainder of the year.
Operator: Your next question comes from the line of Brian Alexander with Raymond James. Your line is open.
Adam Tindle - Raymond James & Associates, Inc.: Okay. Thank you. This is Adam on for Brian tonight. Based on your guidance, September is going to mark the first quarter where operating profit dollars don't grow in some time. I think you've had only two declines in the past 10 quarters or so. So the question is, how long of a pause will this be before you resume growth in operating profit dollars and what are the primary drivers of this?
Christopher E. Collier - Chief Financial Officer: Certainly, Adam. Let me try to frame this up for you. So as you look into this next quarter, as Mike just talked about, one of the headwinds facing us is our IEI Energy business in what we believe to be a transitory impact as we still strongly believe in the strategic value and vision around energy. So what you see sequentially is some pressure, stable environment for IEI, no meaningful contribution. You see a CEC business that, as I mentioned in my prepared remarks, we are taking some activities to reposition people, assets and programs and to optimize our cost structure in CEC given the demand environment that we see. So you're seeing a little pressure that you otherwise wouldn't see inside of that business. You see also a HRS business that actually given some of the favorable performance we had in Q1, being a bit softer in September. So that also has a flow through in terms of the contribution in terms of profit. So if you put it all together, you're flat. You actually have the high end of our guidance and ability to go beyond and grow again in September. I think it's really going to be determined around the book of business that we have and the growth attributes that re-emerge inside of our IEI business. And as you see, our HRS business continued to perform and grow as we expect it to.
Adam Tindle - Raymond James & Associates, Inc.: Okay, thanks. And just one quick follow-up. I was curious on the CEC business. Strategically, we continue to hear competitors talk about walking away from business that doesn't meet their returns profile in that segment. I understand you've reshaped the business to mix with more emerging vendors. But can you talk about the decision to continue to engage in the more legacy area of this business versus perhaps walking away from portions that have become less attractive?
Michael M. McNamara - Chief Executive Officer & Director: Well, I think the businesses definitely have some headwinds on it, as you well know, which I won't go into. But as a result of having headwinds from a revenue standpoint, you're going to have associated operating margin headwinds at the same time. So, I think that's a reality of this business and participating in this business today, we're going to do our best to reshape our portfolio, so that we're spending more of our time delivering cloud solutions and we've been under that strategy for several years now and we expect to – we would hope to have a more meaningful contribution as a result of cloud solutions over time. So, all we can do is hope to continue to move the business into different, more value-added, more engineering intensive and engineering solution kind of businesses, so we're repositioning the business as we do that. But at the same time as revenue is more challenged on the legacy parts of the business, I think the operating margin inevitably is going to adjust down a little bit. So, we're pretty pleased by the fact that we've got a big portfolio which can absorb a lot of the challenges in the marketplace. But if you do remember, one of the things that we did this last Analyst Day is we took the CEC target margins from a 3% to 3.5% or 3% to 4%, down to 2.5% to 3.5%, so we're kind of recognizing the situation that, that business is in. We'll do our best to reshape the business going forward, try to drive margin in it, we'll try to drive more and more engineering competence and capability into the solutions that we offer. And use those strategies to try to offset the just kind of the headwinds of the industry.
Adam Tindle - Raymond James & Associates, Inc.: Okay. Thank you.
Michael M. McNamara - Chief Executive Officer & Director: Welcome.
Operator: Your next question comes from the line of Paul Coster with JPMorgan. Your line is open.
Paul Coster - JPMorgan Securities LLC: Yes, thanks for taking my question. First off, can you share with us what the incremental Sketch to Scale as a proportion of revenue has been?
Michael M. McNamara - Chief Executive Officer & Director: Your question is do we have a higher percentage of Sketch to Scale revenue this quarter?
Paul Coster - JPMorgan Securities LLC: Yeah.
Michael M. McNamara - Chief Executive Officer & Director: Yeah, I actually – we actually don't know, I mean, it's too – it's a indicator that we more look like on a – I think, on a yearly basis our expectation is we'll give you what that looks like every year at Analyst Day for the next few years. And but, boy, to try to deal with the difficulties of trying to estimate that number on a quarter-by-quarter basis it's difficult to do. I can tell you one thing is our demand for engineering is tremendous. We'll add over 600 engineers, we expect this year. We have over 220 open reqs in our engineering organization as we speak. So the demand for this kind of services continues to go up. We'll have even incremental demand as a result of the Bose relationship. So I think this Sketch to Scale and this transition into more and more engineering value-added services that we believe will drive more – higher and higher margins on a continuous basis over the next few years is very much intact. And the demand remains very, very high if I measure it by the amount of engineers that we need to – that we're bringing on this year.
Paul Coster - JPMorgan Securities LLC: Okay. And then, as you scale up the Bose business. And then to an even greater extent the NIKE business, do the margins – are the margins kind of fixed right from the get go or do they flex out with scale?
Christopher E. Collier - Chief Financial Officer: Well, we would always hope our margins as we get into programs and work on them that we drive efficiencies and productivity, so both of the Bose program and the NIKE program are many – multiple years, much longer than any of our traditional deals, which gives us a chance to work with our customer and drive value created solutions out of it and hopefully as a result of that, we'll be able to drive more margins. So, we sure – we sure think there is a direct relationship between the length of the program and the amount of margins that we'll be able to drive in those programs.
Paul Coster - JPMorgan Securities LLC: Okay, got it. I mean, and maybe a better way of phrasing it is, are they margin drag initially?
Michael M. McNamara - Chief Executive Officer & Director: Well, NIKE for sure is a margin drag because we have almost no revenue and it's a tremendous program and effort and cost to re-imagine and reinvent how shoes are manufactured, so that is pretty significant headwind. The Bose program doesn't have much of a headwind because we're actually taking over existing supply chains and operations from Bose, so those will come into the system at pretty much our normal rate, and the integration will be pretty minimal. So, two very different programs, one, you're recreating how an industry actually creates business, and as a result, we have a very, very long-term contract so that we can recover our investments upfront. And a secondary program like Bose, where we should come out of the gate with margins at a pretty much along our normal business.
Operator: Your next question comes from the line of Jim Suva with Citi. Your line is open.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Thank you and congratulations to you and your team there, Flex. A question regarding the outlook and understanding that your quarter ended before Brexit happened, have you seen any demand pause or have you had to adjust your forward-looking September quarter guidance for anything around Brexit or any feedback around Brexit? Thanks.
Michael M. McNamara - Chief Executive Officer & Director: Yeah. So we see, what I'd say is virtually no impact of Brexit. The fact that the pound has dropped significantly, really doesn't have much of an impact on our operations, and as you've probably noticed, not a huge amount of electronics companies in the UK. The implication for Brexit is whether or not it will impact any of the GDP growth for the world or for Europe. So far, we haven't really seen any meaningful impact at all out of the Brexit decision, so it does leave us. There's still some uncertainty in it. It creates a little pause from our standpoint of understanding what it means, but we at this point are not anticipating much of an impact at all.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Okay. So, it sounds like your year-over-year revenue headwind is solely attributable to the disengagement from China operations of Motorola and not other external factors, is that fair?
Michael M. McNamara - Chief Executive Officer & Director: Oh, yeah. I would say there is zero impact from Brexit and the biggest impact is Motorola. As you know, I think we've talked, it's well over $1 billion in our operations in China on a year-over-year basis. So, our year-over-year comp is going to be affected by over a $1 billion. So, that's a significant headwind for us from a revenue standpoint.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Great. And then maybe a more accounting related probably difficult question is, yes, I think, you brought back about $65 million worth of cash worth of stock of about 7.3 million shares, but your diluted share count actually went up quarter-over-quarter despite that. Was that due to like annual vesting or maybe the Black-Scholes model of the vesting of stock compensation due to the Flex shareholder – Flex stock price, or how should we think about you guys spending money to buy back stock at your stock share count now?
Christopher E. Collier - Chief Financial Officer: Surely, Jim. So, if you – if you look back to this quarter we bought back roughly 1.3% of our shares for a total of – using $95 million of cash. What you are talking to is regarding the outstanding shares. Our diluted share count did not go up, it actually went down. But our outstanding shares go up, and it's very similar to what you would have seen in each of other years in the first quarter because that is where there is the larger amount of employee related shares being issued upon vesting, so they move out into the market as tradable share. So, outstanding shares certainly went up nominally from the end of the year to a June period, it was much bigger last year than this year, but the actual dilutive impact – our diluted share count has gone down sequentially as we continue to be focused on buying back our shares.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Okay. And going forward that commitment is still in place to return that shareholder cash to shareholders via stock buyback as well as growing the company organically?
Michael M. McNamara - Chief Executive Officer & Director: Yeah. Specifically, Jim in the prepared remarks we wanted to stress once again that we have an unwavering commitment to increase shareholder value and that unwavering commitment is to deliver greater than 50% of our free cash flow in the form of the share repurchase, as well as look like we did last year at identifying and pursuing accretive expansive M&A.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Thank you very much, and congratulations to you and your team.
Michael M. McNamara - Chief Executive Officer & Director: Thanks Jim.
Operator: Your next question comes from the line of Mark Delaney with Goldman Sachs. Your line is open.
Mark Delaney - Goldman Sachs & Co.: Yes, good afternoon and thanks very much for taking the questions. First question is on the Bose announcement. Can you help us size the revenue potential from that business, and any visibility on when that transaction may close?
Michael M. McNamara - Chief Executive Officer & Director: Yeah. We expect the transaction to close in the Q3 timeframe – in our Q3 timeframe. So, we would expect to be incrementing our revenue as a result of that. And over time, it remains to be seen, but this is a significant engagement with Bose, it's – we're in process of – we'll be in process taking over significant portions of their supply chain. So, we view it as to be meaningful revenue, but I think we're going to wait until we actually close, before we give out any more detailed information of that, but once again we expect a Q3 close, super strategic partner, a whole new product category that we haven't done before. And I believe it's going to create all kinds of new capabilities for Flex as a result.
Mark Delaney - Goldman Sachs & Co.: Okay. That's helpful. For second question on CEC, if I plug in guidance for September quarter and look at typical seasonality in December and March. It seems like revenue for fiscal 2017 maybe down by more than 5% and I think the adjusted target was flat to down 5% from the Analyst Day. Is there anything with mix changing or anything in backlog that can bring you back into that flat to down 5% target or is there potential for it to come in lower than that for fiscal 2017?
Christopher E. Collier - Chief Financial Officer: Yeah. We just about 60 days ago had laid out that vision at our Investor Day, that's a long-term, how we should think about that business long-term, but also that's how we think about that business in this year. We've seen it has been down 0% to 5% and we've had some incremental pressure coming, but it's still something that we think is an achievable range. We're obviously going to be at that lower end of that around that 5%, but that's kind of where it still sits for us today. And in fact you see that in our Q2 guide down mid-single digits kind of reflects that broad malaise that exists across the IT enterprise and specifically for us inside the telecom portion of our business.
Mark Delaney - Goldman Sachs & Co.: Thank you very much.
Operator: Your next question comes from the line of Steven Fox with Cross Research. Your line is open.
Steven Fox - Cross Research LLC: Thanks. Good afternoon. Two questions from me, please. First, just looking at the – your SG&A levels this quarter versus say a year ago on a ratio basis, it's up about 20 basis points year-over-year. Is there a need to invest more given the program ramps? And then secondly, Mike, I've noticed you guys have had a couple of announcements around partnerships as opposed to acquisitions in the last few weeks, I was wondering if you could just lay out what makes you consider some of these partnerships as opposed to may be acquiring capabilities. Thanks.
Michael M. McNamara - Chief Executive Officer & Director: Yeah, so.
Christopher E. Collier - Chief Financial Officer: I would take the SG&A after you go over the...
Michael M. McNamara - Chief Executive Officer & Director: Okay. Yeah, yeah, I think one of the most – the two big ones that we've announced over the last couple weeks is Bose of course where it's a great customer, has a very strong growth profile within the customer, and it actually has additional capabilities and the other thing that's interesting about Bose is it will be reflective of a very significant design engagement. So, very much on the back of our Sketch to Scale initiative. The other one that we announced that we're pretty excited about is MAS Holdings. This is a relationship we've been developing really over the last year, and this is basically an apparel company and our objective is to develop new wearable technologies that actually accelerate the Intelligence of Things into clothing, enables a lot more technology in the clothes and any fabric-based product. So we continue to be pretty excited about, being able to bring our whole wearables technology and our connected technologies into a broader range of product categories and we think MAS is a great partner to go make that happen. We think it makes more sense if they stay on apparel and not do an acquisition and that we stay more in the electronics portion and the connected and develop a relationship instead of a partnership. And one other thing that I neglected to mention on the Bose relationship is that a significant portion of that relationship is all built around the automobile business, they actually have an auto audio business and that's something we expect to participate on right away. So there's really multiple ways of engaging with these customers. So two very significant engagements with two new very new product categories that we're driving and think both of them are just great relationships.
Christopher E. Collier - Chief Financial Officer: And as it relates to the SG&A, as you see, year-over-year we're up $23 million. About half of that is related to the M&A that we executed this past year, be it MCi, NEXTracker, the Wink transaction and the Farm inside of our medical offering. So if you think about those having the impact, you've also seen that growth reflective of higher marketing and branding spend as we've been doing some targeted efforts there in this past quarter. That will fluctuate period-to-period. But more importantly has been, as Mike talked about, the open reqs inside of our design and engineering. We continue to find a lot of opportunity to advance our Sketch to Scale in our innovation offerings, so we've been making discrete and distinct investments inside of innovation and design so we can expand, such as the Innovation Centers, the Centers of Excellence that we displayed as well at our Investor Day, and more broadly expand the capabilities and competencies around the globe. And I'd say the lastly would be we've been increasing some of the S in the SG&A, some selling efforts more in terms of the technical selling as we get after some of the Sketch to Scale programs. So it's been very disciplined. It seems to be pronounced, but it's something that we're very focused around driving efficiently. As you look forward, we think it sits right around that $215,000 type of a range, and we are always thinking about how to subsidize those incremental elements with more productivity and efficiency from our system.
Steven Fox - Cross Research LLC: Great. That's very helpful. Thanks very much.
Operator: Your next question comes from the line of Ruplu Bhattacharya with Bank of America Merrill Lynch. Your line is open.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Thanks for taking my questions. Mike, the first one on HRS. I just wanted to get your viewpoint on the slowdown for next quarter. I guess the segment is going to be up 7%, which is less than the double-digit growths that we are seeing. But just wanted to see if there is anything in particular going on. And do you still think that the segment can grow double-digits for the full year?
Michael M. McNamara - Chief Executive Officer & Director: Yeah, I just think this is just normal quarter-to-quarter deviation. Q1 was up year-over-year 19%. So it was up very, very significantly. We had a strong auto and we had a really strong medical. And we think a lot of the medical was rebuilding some inventory channels and some upside, which is not necessarily sustainable going into Q2. So we think Q2 is going to come down a little bit. And also in auto, very typically the summer quarter tends to be a little bit lower because there is usually some factory shutdowns and such. So I think the whole HRS strategy and objective of hitting double-digit growth, 10%, is very much intact. And I think over the course of the year, we'll see us move towards hitting that kind of number and then hopefully sustaining into the next year. Our bookings are very, very strong. We have really good visibility into those bookings. A lot of really good programs. So I think the whole strategy is intact and I think this next quarter is just a normal – everything is not going to be perfectly linear across the year.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Right, right. And, Chris, just one for you. Are there any costs still left from the Lenovo Motorola China transaction that can still hit margins in the next quarter? Just wanted to clarify that. And then on free cash flow, you had a target of $3 billion to $4 billion that would be returned to shareholders by the end of fiscal 2017. Do you still think that you can make the $3 billion lower-end target?
Christopher E. Collier - Chief Financial Officer: Certainly. Let me take the CTG and Lenovo comment first. I tried to be very explicit in the prepared remarks and then in an earlier response. We have completely exited that operation and we think we manage that very well. We mitigated and absorbed all the associated costs and eliminated the risk exposure to that. So really pleased with how we've gone through that. It did put some pressure on the June quarter, it was as expected. But that's behind us and we've moved to a more standard relationship with them, focused in terms of supporting them, both in India and in Brazil. Then as you think about cash flows, it goes back to our – it's a cornerstone for us. I mean, we're fundamentally structured and disciplined to deliver strong free cash flow. This past quarter we generated $121 million, we're well on our way to what we targeted, the $600 million to $700 million cash flow in fiscal 2017 and what that will do is that will push us to roughly $3.2 billion to $3.3 billion in that same five year period that you're alluding to, which actually is up 10% over the prior five year period. So our vision in sustainability around cash flows remain intact. We're going to continue to drive earnings contribution to it, we're going to continue to have disciplined management of our working capital, and we're going to be very thoughtful around the CapEx investments.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Great. Thanks.
Operator: Your next question comes from the line of Nikhil Kumar with Stifel. Your line is open.
Nikhil Kumar - Stifel, Nicolaus & Co., Inc.: Hi, this is Nick for Matt Sheerin. Could you talk about overall demand environment beyond September quarter and how should we think about that for the rest of the year?
Michael M. McNamara - Chief Executive Officer & Director: Yeah, I think every product category is a little bit different, but maybe I can just break it down a little bit. I think, in general, we're in a slow economy. And I think demand is reasonably flat and to have any kind of upside over revenue is usually going to come from new programs or additional bookings. So, I would say in general across the board if I take a weighted average of all the product categories that's the demand environment we're in. From a CEC standpoint, we're just going to have continuous revenue pressure, we have had for many years now. That is not going to abate this year. We've talked about some of those challenges, we've changed our range to zero to minus 5%. So, we're actually going to see some revenue challenges across the year and but no different than last year or the year before. In automotive and medical a little bit different. We have very, very strong program wins. The fundamentals of both the automotive and the medical business continue to remain reasonably strong and there is growth in those industries and the fact that we're topping up bookings on top of the growth rates within the industry creates an environment where we can hit our 10% numbers. And if I think across the industrial segment, from an energy standpoint we continue to look for that to be a double digit growth category for us. It would be a lot better if it wasn't for the SunEdison bankruptcy, but even despite that we still expect to grow more than double digits in their energy business and then across the other broad cross-sections of industrial we consider to be a very flat market, that's driven by a slow macro and the only way we'll get upside on that is new programs. But we are winning new programs and we continue to – so, we do expect that also to hit our target range of 10% growth year-over-year. So, that continues to play out well. And in CTG, it's always kind of dependent on what are the programs we're actually running, but our objective in CTG is to continuously to reposition this into more value added engagements, more Sketch to Scale, more technology. You're seeing some of the programs we're bringing on, things like NIKE, where we're kind of reinventing how manufacturing is done with shoes, you're seeing Bose, which is bringing out a whole new acoustics kind of program, you're seeing a wearables program with MAS, which is creating a whole collective – bringing collective intelligence into fabric and all these are creating new and interesting opportunities within CTG. So, really within CTG we're almost creating and kind of inventing our solution there and not just waiting for end demand. So that kind of gives you a summary segment-by-segment, but if I was – if I was just to summarize and put it on an overall characterization, very slow revenue, don't expect it to change and you have to really create your own destiny in order to have any kind of revenue growth.
Nikhil Kumar - Stifel, Nicolaus & Co., Inc.: Got it. That's all from my side. Thank you.
Michael M. McNamara - Chief Executive Officer & Director: And one other thing I would I'd add Nick, despite that revenue and that languishing revenue, we continue to move more towards Sketch to Scale programs and more and more value-added activities. We started creating our destiny and we leverage many of the different tools and technologies we have. Even in a flat revenue growth environment, we can continue to have margin expansion.
Kevin Kessel - Vice President-Investor Relations: Operator, I think we have time for one last question.
Operator: Your last question comes from the line of Herve Francois with B. Riley. Your line is open.
Herve Daniel Francois - B. Riley & Co. LLC: Nice, nice. Save the best for last. Thanks, guys. Can you talk about now that the moat Lenovo in China is behind you, where can you see the CTG business in regards to margins going, considering you're looking to grow 15% in the September quarter, you're not going to have that headwind with Motorola in China anymore, so I guess, I think you said before that you certainly expect the operating margins to go higher, but how much higher should we be thinking about?
Christopher E. Collier - Chief Financial Officer: So, back at our Investor Day, we actually increased the range for CTG to a 2% to 4%, and there is just so many different ways. Mike alluded to it several times in some of the responses earlier, there's just so many different ways that we're partnering and engaging with customers. We're having a much richer engagement model. And again, it goes back to the overall thesis for CTG that it's about a richer business. It's not necessary targeted growth. Even if you look to this next quarter, sequentially we're going to go up meaningful into that range. So, we're moving from a 1.9% up into that range. We said a 4% at the high end. We have programs today that are beyond the 4%. So overall, we just continue to see a nice migration of that business. We continue to make strategic investments into expanding new vectors and capabilities. And we see just a natural progression well into that 2% to 4% range. So I think you should think about us seeing that progression take the shape starting in the next quarter.
Michael M. McNamara - Chief Executive Officer & Director: So I want to close up and thank you for your questions and interest in Flex. In summary, Flex's evolving Sketch to Scale strategy remains firmly on track. This quarter was our 11th straight quarter showing year-over-year adjusted operating margin growth and at the midpoint of our guidance implies next quarter will be our 12th straight quarter of achieving this. The portfolio diversification has never been better with longer product lifecycle businesses accounting for the highest percentage of revenue and adjusted operating profit in our history. Our top 10 customer diversification is also the best it has ever been. And free cash flow remains very strong and enabler of our consistent capital return program to shareholders. So we're performing well. We're on track. We like our strategy; execution is really pretty strong. And with that summary, I'd like to conclude today's call and thank you all for joining.
Operator: This concludes today's conference call. You may now disconnect.